Operator: Good afternoon and welcome to B. Riley Financial's First Quarter 2024 Earnings Call. My name is Ariel, and I will be your call coordinator. Earlier today, B. Riley issued a press release and financial supplement detailing its results for the first quarter of 2024, which can be found on its Investor Relations website at ir.brileyfin.com. Today's call includes prepared remarks from the company followed by a question-and-answer session.
 Joining us today from B. Riley are Bryant Riley, Chairman, Co-Founder and Co-CEO; Tom Kelleher, Co-Founder and Co-CEO; and Phillip Ahn, CFO and COO. After management's remarks, we will open the line for questions. [Operator Instructions] As a reminder, this call is being recorded. An audio replay will be available on the company's Investor Relations website later today.
 Today's call will also include non-GAAP measures. The reconciliation for these as well as an explanation for the use of these metrics and a definition of these terms is available in the earnings press release and financial supplement, both of which are available on the company's Investor Relations website. And before we conclude today's call, I will provide the necessary cautions regarding forward-looking statements.
 Now I will turn the call over to Mr. Bryant Riley. Mr. Riley, please proceed. 
Bryant Riley: Thank you for joining our call this afternoon. Before we get into these results for the quarter, I want to thank our employees, investors and partners for your continued patience throughout what has been a highly unusual period for our firm.
 Against that backdrop, I'd like to start by putting our operating performance for the quarter into perspective and then providing some context on our investments. We had a solid quarter from an operating perspective. We generated $66 million of operating adjusted EBITDA compared to $88 million in the same period last year. Our Advisory Services business had a record Q1. BRAS saw increased fee income year-over-year despite a decrease in overall Capital Markets segment revenues, and Wealth Management operating margins have continued to improve.
 At the same time, we monetized investments consistent with our business model and uses capital to both repay outstanding debt while investing in attractive new opportunities such as Nogin. For context, our first quarter results reflected $59 million of investment-related losses, which are primarily unrealized, in addition to incremental costs due to the late filing of our 10-K, internal review and subsequent independent investigation undertaken by our Board's Audit Committee, which we are happy to have behind us.
 In contract, last year, our first quarter results benefited from approximately $23 million of investment-related gains and an increase in interest income from a pool of performing consumer receivables that we acquired from Babcock in the prior year, which has generated returns north of 20%. That portfolio is maturing as reflected in the year-over-year change in our net -- our total loan receivables balance. On a more normalized basis and excluding the incremental costs and our noncash gains and losses, operating income was flat at approximately $33 million when compared to the same period last year.
 From a revenue prospectus -- excuse me, from a revenue perspective, the increase in fee income in our Capital Markets segment was offset by lower interest income in line with the reduction of consumer receivables and our overall loan portfolio from the same period in 2023. As I mentioned, Advisory Services had a record first quarter. This was both in terms of revenue and operating income. This is a business that was generating approximately $76 million in revenue a little over 3 years ago and is now generating revenues at an annual rate of over $100 million.
 Operating margins in our Wealth Management business have continued to improve over the last few years, and while Targus is continuing to work through the macro headwinds that impacted the global PC market, we believe the business is well positioned for when this market normalizes.
 I appreciate some of this call may -- some on this call may be new to our story. It's important for investors to understand that we have a long history of making investments and acquisitions, and we utilize the services and expertise on our platform to not only maximize the potential value of our investments but also to manage any potential downside. This is core to our business and what we do.
 Our portfolio is going to fluctuate in marks from quarter-to-quarter due to the nature of our investments. We acknowledge the volatility this creates in our periodic results. However, it is important to view our investments over a longer time horizon.
 As I mentioned, net loss for the quarter included an investment loss of $59 million, which was driven by changes in fair market valuations for our investments, including Freedom VCM, which consists of the underlying business of FRG, and also investment in BW. As we discussed on our last call, since the closing of FRG's take-private in August of last year, FRG management has executed 2 transactions that are aligned with our stated investment thesis. Those 2 transactions are the sale of Badcock Furniture in December '23 and Sylvan Learning in February '24, which sold for a higher multiple than what FRG management expected and that was originally underwritten for this business.
 The adjustment in the fair market value for Freedom reflected the overall softness in the consumer market during the first quarter. Despite the change, we remain confident in the operators and the management team of each of these businesses and in their ability to execute on strategy.
 For those familiar with B. Riley, you know we often describe our firm as a collection of operating businesses on the one hand and our investment book on the other. What perhaps is less appreciated is the challenges that the uniqueness of our firm present from an evaluation perspective for investors in looking at our P&L and balance sheet relative to the inherent value we've created with our wholly owned subsidiaries and the businesses we have built.
 For perspective, over the last year, we have taken noncash impairment charges related to Targus, which has underperformed since we purchased it 1.5 years ago. On the other hand, our Great American businesses, which consists of appraisal and asset disposition, are on our books for approximately $35 million. And our GlassRatner advisory business, which we acquired in 2018 and has approximately $35 million invested, including tuck-ins, combined in 2023 to generate approximately $52 million of operating income, which includes a roughly $1 million of income from our real estate advisory. This $52 million is represented in our auction and liquidation and financial segment income.
 Taken together, our core operations continue to generate strong free cash flow. And combined with the actions we are taking, we expect to exit 2024 with ample liquidity to aggressively capitalize on the opportunities ahead of us. We remain focused on running our business in the best interest of our stakeholders by addressing the needs of our clients, partners and employees. The market opportunity in the small- and mid-cap space remains as attractive as ever, and we believe B. Riley is uniquely positioned to meet the needs of companies in this space.
 To that end, we are pleased to deliver our investors a dividend of $0.50 per share related to our operating performance for the first quarter. We're thankful to our many supporters for their outreach and continued confidence in B. Riley.
 With that, I will turn the call over to Phil Ahn, our CFO and COO, to discuss key metrics for the quarter. Phil? 
Phillip Ahn: Thanks, Bryant. For the first quarter ended March 31, 2024, we reported total revenues of $343 million and net loss attributable to common shareholders of $51 million driven by approximately $59 million of investment-related losses and incremental expenses related to the filing of our 10-K and the internal review and subsequent investigation undertaken by our Audit Committee.
 As Bryant noted, investment gains and losses have and will continue to create volatility in our periodic earnings. For this reason, we generally discuss our performance in the context of our operating revenues and operating adjusted EBITDA, which are considered non-GAAP financial measures.
 Excluding investment gains and losses, operating revenues were $379 million for the first quarter of 2024 compared to $389 million in the prior year quarter. Revenues from services and fees increased 9% to $257 million in the first quarter, up from $236 million in the same prior year period.
 Interest income from loans and securities lending was $60 million for the first quarter of 2024 compared to $77 million in the prior year quarter. This decrease was driven primarily by the reduction of our loans receivable at fair value balance from $772 million as of March 31, 2023, to $452 million as of March 31, 2024. And as Bryant noted, we generated operating adjusted EBITDA of $66 million in the first quarter of 2024, which compared to $88 million in the first quarter of 2023.
 Turning to highlights from our balance sheet. As of March 31, we had $191 million in unrestricted cash and cash equivalents, $943 million in net securities and other investments owned and $452 million in loans receivable at fair value. At quarter end, we had total cash and investments balance of approximately $1.6 billion, which includes approximately $21 million of other investments reported in our prepaid and other assets.
 Total debt as of March 31 was approximately $2.2 billion. And total debt, net of cash and investments, was approximately $581 million at quarter end. During the quarter, we redeemed approximately $115 million of our Riley old senior notes on February 29, 2024. And earlier this month, we announced the remaining $25 million of our Riley old senior notes will be redeemed on March -- May 31, 2024.
 Finally, as Bryant noted, we've declared a dividend of $0.50 per common share. Our quarterly dividend will be paid on or about June 11 to common shareholders of record as of May 27.
 That completes my summary. I'll now turn the call over to Tom to discuss our business segments. Tom? 
Thomas Kelleher: Thanks, Phil. As Bryant previously mentioned, while there was a decrease in overall Capital Markets segment revenue due to unrealized investment losses, B. Riley's securities benefited from the steady deal-making environment and generated more in fee income this quarter compared to the same period last year.
 BRAS generated over $100 million in operating revenues and over $18 million of operating EBITDA during the quarter. In Wealth Management, we're beginning to see consistent normalized production as a result of our strategic realignment of this business following our 2021 purchase of National Holdings. Revenues increased to $52 million in the first quarter of 2024, surpassing prior revenues on both a year-over-year and sequential basis.
 Wealth Management brokerage revenues, advisory revenues and syndicate revenues all showed improvement from the fourth quarter of 2023. Operating income also benefited from higher seasonal tax revenues from our accounting and tax prep division. Assets under management totaled $25.8 billion at March 31, 2024.
 Auction and Liquidation contributed revenues of $5.8 million and operating income of $2 million during the first quarter. Our team was engaged in several ongoing projects during the quarter, both domestic and international. Returning clients drove most of our revenue opportunities, coupled with new business activity, which we expect to realize later this year.
 Our prospects in Europe continue to be steady with several opportunities in early stages. Our Financial Consulting segment includes our legacy Great American appraisal group, our GlassRatner consulting division and our B. Riley Real Estate brokerage division, which we established in 2020. Each of our appraisal and consulting divisions, known as B. Riley Advisory Services, experienced a record first quarter, which contributed to a 40% increase in segment revenues to $35 million and a 62% increase in segment operating income to $6.1 million compared to the same period last year.
 Our acquisitions of Farber and Crawford & Winiarski in 2023 also contributed to the increase in advisory, bankruptcy and forensic litigation consulting assignments. In addition to the more robust demand for our legacy appraisal and consulting services during the quarter, we have continued to develop other lines of service, including our field exam group, and expanded others like executive search.
 Our portfolio of Communications businesses has continued to contribute steady cash flow to our platform, generating revenues of $82 million and operating income of $8 million during the quarter. And in our Consumer Products segment, the continued softness in global PC and laptop sales resulted in a segment loss of $3 million during the quarter. As Bryant noted, Targus is continuing to work through some headwinds. However, we believe the business is well positioned to turn as the market for PC accessory sales recovers.
 Finally, our continued success is due in no small part to the dedication of our employees across B. Riley, and we could not be more grateful. A world-class team of professionals continues to demonstrate complete focus and commitment in serving our clients and customers.
 With that, we will now open the call up for questions before turning the call back to Bryant for closing remarks. 
Operator: [Operator Instructions] Our first question comes from Sean of B. Riley (sic) Charles Lane Capital. 
Sean Haydon: I'm actually from Charles Lane Capital, not B. Riley. But -- so first question here is on the Consumer Products. In your release, you said you had $56 million of revenue from goods sold, and there's about $52 million in Consumer Products revenue. What accounts for that delta? And where would that show up? 
Bryant Riley: Sean, Phil, you're talking about the $4 million delta? 
Sean Haydon: Yes. 
Bryant Riley: I'm imagining that is something from retail, but I'm not sure. Phil, do you know the delta? 
Phillip Ahn: No. We're going to have to get back to you. I mean we've got a mixture of different things in there. When we do, do retail liquidation, some of the retail sales gets mixed in there. 
Sean Haydon: Okay. I figured it was some liquidation. I just want to confirm that. And then on Communications, how should we think about that margin? It looks like the incremental margin came down a touch. How do we think about that? How much of that is fixed expense versus variable? 
Bryant Riley: Look, I think that the -- that group and, Phil, you can touch upon the margins a little bit more. But that group, there's 3 assets that have performed amazingly well. So I think you know and we talked a lot about United Online and the returns we've gotten on that $45 million investment. And magicJack has been an unbelievable investment, and Marconi has been our best investment.
 And so the other 2, Lingo and BullsEye, have been a little bit tougher and I think are causing -- have contracted margins a bit. We think we have a solve there, and it's involving selling a piece of that business, not for a big number but a business that causes us some margin contraction. But it's mostly from that side of the business. Phil, anything you want to add there? 
Phillip Ahn: No. I think you captured it. 
Sean Haydon: Okay. And then just a couple more for me. So on the dividend savings going from $1 to $0.50, about $30 million a year, should we expect that to be funneled towards deleveraging? Or how should we think about the capital being allocated? 
Bryant Riley: Look, I think we're cognizant that anything we do, any stock we sell, any asset we sell, we are giving away our cap table trades. We're selling it for an incremental higher price, whether the yield to maturity is 20 or 22 or whatever. And so we -- I think we have to take that into account. We are -- we've made some big investments in the last year. And as those return, we'll think about that differently. Obviously, we've talked about the process that we are considering with GA, which based on any sort of comp, you would see a fair amount of incremental capital there.
 So we think we'll have a lot of options, but we want to make sure that our dividend is covered by our operating EBITDA and our free cash flow. And then incrementally, we do think there's an opportunity.
 One of the things that -- we think about GAAP a lot. I mean one of the things that's interesting and why we're difficult is that we did issue a lot of bonds at a rate that I think you probably in a similar situation have to pay double in terms of interest rates. And so there's a lot of embedded value there. There's obviously a discount just because of the noise around us, which we will also try and take advantage of. But there's a lot of embedded value in those bonds for us to take advantage of. So we're looking at all those things. 
Sean Haydon: Yes. Makes sense. And then just 2 more for me. On Capital Markets, any color there on kind of how Q1 booked and how Q2 is beginning to shape up? And any commentary on FocalPoint would be helpful. 
Bryant Riley: Yes. So I would say -- well, we had our biggest fee in FocalPoint since we acquired them. I think they're definitely picking up. The M&A market has still been pretty slow. I would say that Capital Markets were relatively slow in Q1, started off slow in Q2 but have picked up meaningfully in the last -- just as the Russell has picked up. So even the last couple of weeks are meaningfully more active than the previous months.
 I also think that, quite frankly, when we did not have our K out, we lost a little bit of market share. And I think that is turning. I think that, from my perspective, our clients and investors recognize that we were in a unique situation and we've been around for 27 years, and I think they appreciate that. I think that that's going to swing is my opinion. I'm excited about our conference. I'm excited about telling our story during that conference. And I think you're going to start to see some real momentum in the cap market side, and that's a big part of our overall strategy. We think that in the next 3 to 4 years, there's going to be amazing opportunities there, and we're really well positioned for that.
 So we're excited about that business. That market, for the most part, has been closed or very slow for 3 years. So if we can start to see a little bit better environment, whether it's from companies who are growing or whether it's companies who have to reevaluate their debt or whatever. We think we're positioned really well there. So I'm excited about the next -- as this year goes on, the momentum we're going to see in Capital Markets. 
Sean Haydon: Great. And my last one, actually, it's a good segue. So you lost $7 million kind of like extraordinary expenses from the internal investigation. Any -- like any more expenses that you foresee bleeding over into Q2? And then how should we think about expenses related to your conference coming up? 
Bryant Riley: Phil, you can say -- I think the leakage is not going to be huge. But Phil, you can talk about that. I would say the conference -- we've been running the conference since the first year we started. We run it, I think, efficiently and we have a lot of sponsors and we try to make sure that we're fiscally responsible around that. So I would not -- it's not a big number relative to the incremental costs that we had to bear for [indiscernible] and just getting the audit through.
 But Phil, as you look at the second quarter, how would you answer... 
Phillip Ahn: Yes. There's probably some spillover, obviously, from -- we released the K in mid-, late April. So there's going to be a little bit of spillover, but I can't imagine it would be anything like we had in Q1. 
Sean Haydon: Got it. Okay. Congrats. 
Bryant Riley: All right. Thank you. 
Operator: Our next question comes from Paul of Punch & Associates. 
Paul Dwyer: Can you -- Bryant, can you -- any more color you can provide on the Great American transaction and time line there as well as other noncore divestiture opportunities? 
Bryant Riley: So I guess what I would say is that we are in the middle of it. We've been happy with the amount of interest that we've gotten, and we'll make a determination. I think it's an amazing asset. I think it's an asset that somebody, if they use as a platform, can do a lot of the things we did, whether it's buying brands through auctions or whether it's consignment or building a direct lending business off of it, and it's a great team. So I'm really excited about -- I mean I'm -- I don't love selling it. But for -- the opportunities we see are potentially selling it, I should say.
 On the small-cap side and kind of the bread-and-butter of where we started, we think there's just going to be a great run. And that's the view of our firm, and it all -- it will play itself out. You and I -- we've talked a little bit about the -- some of the other noncore assets like Brands, which have been an amazing investment for us and generate a lot of EBITDA, $45 million, $50 million of dividend checks, not even EBITDA.
 So is there an opportunity at some point in the next year to think through that? I'm super aware that there are opportunities for us to create a lot of value by buying our debt back at discounts. And so that does drive some of our thinking.
 But -- I think you saw we had $190 million of cash. We obviously sold some noncore assets during the quarter and last year, and we continue to do that. And we also want to be there for our deals and make sure that we're able to backstop deals or do overnights and all that kind of stuff. So all that -- it's all balanced, but I would say the timing -- these things always seem to take longer than you expect to make a decision. But if I were to handicap it, I -- somebody told me I said in Q2, if I did, I was a little optimistic. I think it would be probably more in the earlier side of Q3 when a decision would be made. But I think that people recognize what a unique asset it is because it's really unique. 
Paul Dwyer: Yes, yes. Okay. And then Franchise Group, there were a couple of news headlines. You've commented on [ human ] performance but very little detail out there. Any update you can give on the remaining operating segments? 
Bryant Riley: Yes. I would say that -- first of all, I am -- obviously, this investment started off in a different manner than what we expected. I will say the management team there has done a great job of taking the reins. Obviously, the Conn's transaction that we help facilitate, I think, is a -- was a really good first step. Sylvan was really important because the cash just really, really extends their ability to get through what is a kind of a rough consumer environment.
 So there's no change to the model, and I think all the constituents appreciate that. We -- you saw on that same note, the potential to do a securitization on Pet Supplies Plus. That's an exciting market that I think could create a lot of liquidity and debt pay down. We have other assets that we're working on. So hard to get into too much of the specifics.
 I would just say that I think the constituents are aligned. I think the management team is doing a great job. We're fortunate that we were able to sell Sylvan and bring in a lot of cash so that we can invest in businesses like American Freight, which are -- historically have been really good businesses that are down right now. And I believe cycles turn. And as long as we can outlast that, we'll be really well positioned. But yes, I mean, for sure, we did not underwrite the consumer and American Freight, taking as long to turn as it has. But again, fortunate that we have runway. 
Paul Dwyer: Yes. Okay. And Tom, you talked about Targus being poised to turn. Just wanted see if there's any more color you can provide on kind of what you're seeing in terms of that industry and thoughts there in terms of time line to normalization. 
Thomas Kelleher: Yes. I think that's one of those businesses and industries that's really tied to a larger macro, which is the hardware. And kind of clear that with COVID and the proliferation of people working from home, there was a lot of people who bought a lot of laptops. But over time, that cycle will turn. And with that, it will drive sales with Targus. So it's -- as in with the consumer, it's taking a little bit longer than we had anticipated, but we see that happening eventually. So feel good about the investment. 
Bryant Riley: Sorry, TK. I think one of the things -- and it's an important part of what we do. And obviously, with Franchise Group, it turned a little bit. But Michael Williams, who runs that business, has been successful in 2 public companies and a private company and approached us about buying that business because he wanted to buy that business. And Michael is, in my mind, one of the best CEOs out there. And we have the ability to invest in a business when others may not be able to. We are seeing some of the -- some of our competitors not able to get through. And so as we come out of it, and you've seen it, I'm sure, in many of your investments, if you're able to come out of this, whether it's investing in American Freight when others are closing stores or whether it's investing in Targus, that's what we're going to do because we feel like the partnerships we have and the management teams we have are really, really good. And that's -- we've seen this many times.
 I mean, Paul, if you remember Wealth Management, for a long time now, it was a topic of discussion. And I think you can see that Chuck and Mike, Ron have really turned that business in partnership with us and investing. And the wealth managers in that group have been unbelievably supportive through all of this. Through all of the crazy dynamics that have gone on with us, they've been unbelievable supportive. And I just think that this is business. And sometimes you acquire something and it rips and it goes right up like GlassRatner did, which was great and like the brands did. And sometimes you got to work and you got to work through them like we did with Select Interior or like we did with Core, which was marked down 75% at one point and one of their assets. We just got to grind through them and work with management to turn them. And that's what we've done our whole career, and I'm confident you'll see that happen again in those segments. 
Paul Dwyer: Yes. We get it. We get it. And then, Bryant, maybe just to wrap up here. You talked about crazy dynamics and unusual last few months. Any learnings or insights from the period that you think will impact either operations or capital allocation going forward? 
Bryant Riley: It's -- yes, I mean it's a pretty self-reflective question for me and then as a firm. I would say that Clearly, we are a difficult public company. If you think about it, there's an element of us that is an operating private equity business, and then there's an element of us that's pure investments. And you kind of combine those and you get -- if you make and operate -- that's kind of unique. But if you make an operating business that declined, you mark that down. If you buy an operating business that goes up, you don't mark it up.
 And so we're kind of in a weird spot around just that dynamic. I think that as we -- this is not something that is a reaction to anything. It's where we see the opportunity. We think that we are going to go on a really good run in financial services. And you see what's happened with our advisory. I am so impressed with what Andy and Jimmy and team have done in the brokerage side. I mean it's been a tough capital markets, and we have not been -- we did not have a K out for a while, and that team has grinded and grinded, and I think we're going to come out of it stronger. And we haven't had that. So I'm excited about what's happening on the financial services side.
 So I think my answer would be more of an optimism over that side of the business, where we would maybe be opportunistic buying a dial-up Internet company that -- I say it all the time, but I just can't help it, is -- I think we paid $45 million and it sort of returned $135 million. That was super opportunistic. I'd probably have a hard time passing up something like that again, but I would think about it a little bit more just because the complexity of our business does create -- I think it creates dynamics everywhere from how people understand us to our audit. And so -- well, maybe a little simpler is better, but there's a lot of different ways to, I think, find opportunities around this platform that we'll take advantage of. And that would not -- saying that would not rule those things out. 
Operator: Our next question comes from Robert of Concise Capital Management. 
Robert Heimowitz: On the Investor Day, you gave a nice EBITDA like kind of peak in the last 12 months of the various businesses. Just hoping we could maybe get a guide for the various businesses. Just you spoke about the ability to cover the dividend really more in line with just interest coverage and how you see that going forward, that would be great. 
Bryant Riley: So look, I would say that -- our trailing month operating EBITDA is roughly $340 million. Our -- the number that we need to cover an operating EBITDA to cover our dividend and interest and everything is around $60 million. And that's really reliant on -- we've got a lot of recurring businesses that pay for a lot of that. And then the question is going to be what is the broker-dealer going to do and what is retail going to do if that's still part of our business.
 So ideally, over the course of the next year or 2, our interest expense, if we are mostly baby bonds that average yield, I think this is right, is like 5.8%. That's a huge advantage for us as we pay down debt. So from an operating EBITDA, the number is trailing 12 months is roughly 3 40 to pay $1 -- to pay the dividend -- a $2 dividend is in and around 2, hold on, in and around like $60-ish million a quarter.
 I mean, when I look at our business this quarter, we had no contribution from Targus. We had a less contribution from our receivables book. Retail was a little quiet, right? We made money on it, but it was a little quiet. And then you have these businesses that have been performing really steadily and in the case of advisory increasing. So I feel good about that. That's the way the business was set up to have a big segment of our expenses and interest paid and dividend paid for by our recurring operating EBITDA and then have the swings from the broker-dealer.
 I mean these swings are not new to us. In 2021, we earned $15 a share. And we weren't as excited as one would be with a $15 a share. We recognize that a lot of those gains were unrealized and a lot of them were based off of a really, I guess, in retrospect, frothy environment. But the contrary, we think this is -- it's not the direct opposite, but it's pretty close. It has been a tough small-cap market.
 So if we're able to continue to generate this kind of operating EBITDA in this environment with no contribution from Targus and other businesses like Wealth Management and appraisal and these other things improving, we feel really good about that. Does that answer your question? 
Robert Heimowitz: Yes, it's helpful. I guess it's just something to think about going forward, maybe in the prepared comments. Because as you said, it can be tough to understand the business, but thinking of it as a sum of the parts in the individual contribution of each part might be helpful.
 I guess just to follow up is you got '25 baby bonds that are -- they're current. So do you think about that like as a constraint against the dividend? Or just how do you plan on addressing it? Maybe that's why the Great American group is on the block, which would be a shame because, obviously, there is that flywheel of you guys finding excellent investment opportunities through there. But you got to pay it off. So is that why it's on the block? And yes, just -- is that the plan to address it? 
Bryant Riley: I mean, look, we -- I think part of what we're supposed to do in general is -- and I -- you could argue the other side of it, and I wouldn't -- it would be a good argument. But part of what we're supposed to do is find assets that are either out of favor or undervalued for whatever reason and work to create value. And I think we spoke about our cost basis in GA. And the flywheel is real.
 But I think it's a flywheel for an institution or a company that can dedicate billions of dollars to a direct lending fund maybe or can be more [ art of ] consignment or to -- again, like we did the brands thing, right? We bought a lot of brands, we bought them cheap, and they met us a lot of money. We did a lot of it. And as we look at it now, sometimes recycling an asset, even if you don't want to but just financially makes sense, you got to make those decisions, and that's what this is.
 And if we get -- but we're not -- I mean we don't -- look, we don't need to sell GA to pay our bonds. We have $190 million in cash and a lot of assets. But if we're not -- and so if we don't get the price that we think makes sense, it's like, great, let's go. But again, we were never set up. We started out -- we started this firm as a $30 million market cap. We were not funded and set up and gigantic to just buy, buy, buy and never sell or maybe we could have done that, but we decided to continue to buy some other things.
 So it's -- I would just say it's part of an overall -- as we look at a portfolio of companies, it's a company that we think is going to be a real value for somebody else and has created real value for us, and those 2 things cross over. 
Operator: This concludes the Q&A. Handing it back to Mr. Riley for any final remarks. 
Bryant Riley: Great. Well, I wanted to remind everybody that tomorrow is our Commission For Charity day. So 100% of tomorrow's trading commissions goes to the Sugar Ray Leonard Foundation. It's an important cause that funds research and programs for childhood type 1 and 2 diabetes. Next week is our 24th Annual Institutional Investor Conference. We're very excited about that. We feel like that's going to be a great forum for us to really kind of continue to build the momentum we've seen here this month and over the last few years. So there will be 200 public and private companies, 1,000 attendees and a great way to highlight our firm.
 And then I just think it's really amazing and a testimony to the people who manage this business, not the people on the executive side but the people that manage the operating businesses that we have been through a lot. And we have maintained the culture, we maintained the people. I think -- the overall employee base, I think, is really excited and fired up. And I'm excited about what the next year brings. So we're looking forward to talking to you next quarter, and appreciate it. Thank you, operator. 
Operator: Thank you. Before we conclude today's call, I will provide B. Riley Financial's safe harbor statement, which includes important cautions regarding forward-looking statements made during this call. Statements made during this call that are not descriptions of historical facts are forward-looking statements that are based on management's current expectations and assumptions and are subject to risks and uncertainties. If such risks or uncertainties materialize or such assumptions prove incorrect, our business, operating results, financial condition and stock price could be materially negatively affected. You should not place undue reliance on such forward-looking statements, which are based on the information currently available to us and speak only as of today's date.
 Such forward-looking statements include, but are not limited to, statements regarding our excitement and the expected growth of our business segments and statements regarding the company's strategic review process for the Great American business and any potential resulting ramifications. Factors that could cause such actual results to differ materially from those contemplated or implied by such forward-looking statements include without limitation the risks described from time to time in B. Riley Financial, Inc.'s period filings with the SEC, including without limitation the risks described in B. Riley Financial, Inc.'s annual report on Form 10-K for the year ended December 31, 2023, under the captions Risk Factors and Management's Discussion and Analysis of Financial Condition and Results of Operations, as applicable.
 Additional information will be set forth in B. Riley Financial's quarterly report on Form 10-Q for the 3-month period ended March 31, 2024. These factors should be considered carefully, and participants are cautioned not to place undue reliance on such forward-looking statements. All information is current as of today's call, and B. Riley Financial undertakes no duty to update this information.
 Thank you for joining us today for B. Riley Financial's First Quarter 2024 Earnings Conference Call. You may now disconnect.